Operator: Good day, everyone, and welcome to Steelcase’s Fourth Quarter and Fiscal 2019 Conference Call. As a reminder, today’s call is being recorded. For opening remarks and introductions, I would like to turn the conference call over to Mr. Mike O’Meara, Director of Investor Relations, Financial Planning and Analysis.
Mike O’Meara: Thank you, Sharon. Good morning, everyone. Thank you for joining us for the recap of our fourth quarter and fiscal 2019 financial results. Here with me today are Jim Keane, our President and Chief Executive Officer; and Dave Sylvester, our Senior Vice President and Chief Financial Officer. Our fourth quarter earnings release, which crossed the wires yesterday, is accessible on our website. This conference call is being webcast and this webcast is a copyrighted production of Steelcase Inc. A replay of this webcast will be posted to ir.steelcase.com later today. Our discussion today may include references to non-GAAP financial measures and forward-looking statements. Reconciliations to the most comparable GAAP measures and details regarding the risks associated with the use of forward-looking statements are included in our earnings release and we are incorporating, by reference into this conference call, the text of our Safe Harbor statement included in the release. Following our prepared remarks, we will respond to questions from investors and analysts. I will now turn the call over to our President and Chief Executive Officer, Jim Keane.
James P. Keane: Thanks Mike and good morning everyone. Our fourth quarter results exceeded our expectations and contributed to one of the best years we have reported in over a decade. In Q4, we grew sales 18% globally on a reported basis and 15% organically. We showed strong growth across all segments and we believe we gained market share in many major markets around the world. BIFMA is reporting strong growth across our industry but our Americas organic revenue growth at 17% was above double the BIFMA's group growth rate. Our earnings per share also grew strongly on both reported and adjusted basis, and that's related to improved profitability as well as revenue growth. As we expected, the two price increases we took early in the year in response to material inflation helped us to regain some lost gross margins in Q4. Our EMEA segment was profitable in Q4, as we continued to drive robust top line revenue growth through improved win rates. While that's a sign of good progress, we recognize EMEA was not profitable for the full year. We continue to work on gross margin expansion initiatives that include specific improvements in our product lines, in our selling strategies, and in our operational efficiency. Our APAC business is included in Other for segment reporting purposes. I want to recognize our entire team in Asia for delivering a record level of quarterly revenue in Q4. Dave will provide more detail about the quarter and our full year results. I want to spend the remainder of my time talking about our outlook, which remains positive. This is supported by our project pipelines, win rates, and most of the macroeconomic factors that we track such as GDP, unemployment, architectural billings, and nonresidential fixed investment. We were all a bit surprised by the weak February job growth figures in the U.S., but unemployment rates also fell and pay rates rose. We interpret this as evidence of a very tight job market with likely far more open positions than qualified applicants. This is the war for talent. We hear stories about this every day from our customers. As customers compete for talent, they recognize they need to invest in their workplace. We believe this is helping to drive growth across our industry as seen in the customer growth numbers.  Steelcase is in a particularly strong position to help. Over the last several years, we've invested in new products, new acquisitions, and new partnerships aimed at helping our commercial customers compete for talent, shift their culture towards innovation, and prepare for digital transformation. We aim to do more than just help with attracting and retaining talent, our solutions are designed to help customers engage their existing workforce more completely and to help improve productivity, innovation, and creativity. That's how you really win the war for talent in the long run. In the Americas, order growth was very strong in December. The growth was weak in January. The year-over-year volatility could relate to this year's factors like the government shutdown, but also to last year's factors like the steel tariffs and tax reform. We implemented a price increase in February last year, which caused some pull forward of orders impacting year-over-year comparisons. When we adjust for that, February order growth was better than January. BIFMA is expecting industry growth in North America to be about 3% in calendar 2019, which will be slower growth than 2018. We're targeting to grow a little faster than the industry organically with the full year effect of our acquisitions adding some inorganic growth on top of that along with an extra week in the fourth quarter due to the timing of our year-end. In EMEA we see improving overall economic and political conditions in France, slowing growth in Germany, and of course the disruptive effects of Brexit uncertainty in the UK. We're targeting top line organic growth above the industry plus the inorganic full year effect of the Orangebox acquisition and continued margin expansion to bring EMEA to full year profitability in fiscal 2020. For APAC, there are signs of slowing economic growth in China but even a slower growing China is growing faster than other major economies. We expect to continue to make investments to grow our market share in APAC. For this coming year, we're very focused on executing against the value creation plans we established for each of our recent acquisitions. For fiscal 2019, we've done well. We were at or above our revenue expectations for each of the three acquisitions. In fiscal 2020, our value creation plans include significant top line growth as we fully activate our distribution channels and globalize access for these product lines. The Orangebox acquisition, the West Elm partnership, and the many other partnerships we've initiated have helped us broaden our response, our offering in response to new trends in the workplace. That's a lot of new products for our sales organization and our distribution to learn, position, sell, and specify.  We continue to invest in training and showroom updates, while we've also added selection and ordering tools to help specifiers including our own dealers find the right products for each customer. Now with those capabilities increasingly in place, we expect to capture a larger share of our customers’ spend for these areas in the workplace. That's another important growth driver for fiscal 2020. We're also working to improve our profitability. That includes fitness initiatives across every area of the company that will help us be more efficient and more competitive in everything we do. Of course, it includes the work I mentioned earlier to improve our gross margins in EMEA. We have people dedicated for these efforts, and we have regular updates that include all of us in the senior leadership team because so many functions are involved in implementing the improvements. Last year, we held an Investor Day in New York and quantified our mid-term growth and profitability targets in the context of our strategy. In yesterday's release, we provided our quarterly outlook as always and we shared our full year targets for revenue growth and earnings, that's new for us. We're doing it to be as helpful as possible to our investors and to help bridge the connection from our quarterly guidance to our mid-term targets. Finally, we had a Town Hall meeting yesterday that was simulcast to our locations around the world. We talked about the results and how everyone contributed. That includes the people who worked on all those new products, people who put together those partnerships and acquisitions, people who are helping us reach new levels of efficiency, and people who are serving our customers and helping us win new customers. Dave and I thank them for all their work, and I like to do that again here because I know we have employees and dealers around the world who listen to this call. They are the reason we had such a good year. Now I will turn it over to Dave.
David C. Sylvester: Thank you Jim and good morning everyone. My comments today will start with some highlights related to our fourth quarter results, balance sheet, and cash flow and then I will share a few summary remarks about the full fiscal year before talking about our outlook for the first quarter and targets for all of fiscal 2020. As Jim said we finished the year very strong with fourth quarter revenue of $912 million and $0.29 of adjusted earnings per share both of which exceeded the top end of our guidance for the quarter. The organic revenue growth of 15% was better than the 9% to 12% we expected for the quarter. We exceeded the top-end of our range primarily due to strength throughout December in both the Americas and EMEA and a lower than expected impact from project delays at the end of the quarter globally.  In addition the mix of revenue growth included higher than expected revenue from one of our owned dealers and some of our direct customers which was primarily driven by third party products not our partnerships. From an earnings perspective the $0.29 exceeded the top end of our estimated range by a penny, the operating leverage from the better than expected revenue was a positive contributor but it was dampened by increased spending in support of our growth strategies, relatively high healthcare costs in advance of a change in planned design, and some year-end adjustments to various accounting reserves which netted to an unfavorable impact in the quarter. In addition the contribution margin associated with the third party product revenue I just mentioned was relatively low. We also had a net -- this favorable discrete tax benefits in the quarter which contributed about a penny to our earnings.  Switching to year-over-year comparisons we grew revenue by $140 million in the quarter with $121 million representing broad based organic growth of 15% with the Americas growing 17%, EMEA growing 9%, and the other category growing 17%. I won't repeat everything Jim just summarized but simply reiterate our strategy is working and customers are responding and it's showing up in our recent market share gains in the U.S. and many other markets around the world. For earnings the $0.29 of adjusted earnings in the quarter represented more than a 50% improvement compared to the prior year when you take into account both the impacts of U.S. tax reform and a non-operating gain in the prior year. Our operating margin improved by 110 basis points due to a significant improvement in our operating expense leverage. In the second half of fiscal 2017 we began ramping up our investments in product development and other growth strategies including partnerships and acquisitions and in fiscal 2019 we've seen accelerating quarterly revenue growth as we have been realizing the benefits of those investments which improved our leverage and our operating expenses. In addition we continue to drive fitness across other areas of our business model which is helping to reallocate existing resources to support growth and investments.  The improvement in operating expense leverage was offset in part by a decline in our gross margin in the quarter which was largely driven by shifts in our business mix. Our overhead is also higher than a year ago in support of our growth and business continuity strategies but this was partially offset by cost reduction initiatives and the absorption benefits associated with the higher volume. As it relates to price yield the benefits from our recent pricing actions more than offset the higher commodity freight and labor costs in the quarter modestly contributing to our gross margin after three consecutive quarters of the opposite effect. And we recently announced another price adjustment to take effect in April.  Over the past few quarters we have mentioned shifts in our business mix as a contributor to year-over-year declines in our gross margin. While we have referenced the year-over-year implications I want to share a few additional thoughts about the longer-term benefits. For example first by winning a relatively high mix of project business now as more and more companies modernize their workplaces we're also winning the continuing agreements with these same customers which can generate additional business of similar magnitude over subsequent periods. Second the success of our new products is helping to offset the declines in legacy applications. Some of our older products have higher than average gross margins due to fully depreciated tooling and equipment, years of cost reduction emphasis, and in some cases pricing actions. While we target our new products at or above our average gross margins across their life cycles initial margins can be lower before overhead investments are more fully absorbed with increased volume.  In addition some of our newest products are outperforming our initial expectations and therefore we have been accelerating some of our localization and business continuity strategies which requires investment in the short-term but we expect will improve our gross margin in the longer-term. And finally because we owned some of our distribution and sell direct in other markets and the ancillary applications have been growing significantly, our revenue and share of wallet from customers in these markets have occasionally benefited from some pass through business which can be at lower gross margins. It's still good business for us but it can impact our overall average gross margin percentage when volumes are more significant.  As it relates to orders and backlog for the quarter, orders in the Americas grew 4% and backlog at the end of the quarter was approximately 3% higher than the prior year. While orders in EMEA grew 9% and backlog at the end of the quarter was approximately 10% higher than the prior year. These comparisons were negatively impacted by a list price adjustment in the prior year which we estimate accelerated approximately 20 million of orders into the fourth quarter of last year. Moving to the balance sheet and cash flow, we generated $85 million of operating cash flow in the quarter which more than funded capital expenditures, the full repayment of acquisition related borrowings under our credit facility, and our $0.135 cent quarterly dividend. In addition we issued $450 million of 10 year senior notes in January and used a portion of the proceeds to fund the early retirement of our $250 million notes in February. The effective interest rate on our new notes approximate 5.6% or 100 basis points lower than the notes we retired in the quarter. And the rating agencies rated our new notes two notches into the investment grade scale with stable outlooks.  Replenishing our liquidity following the recent acquisitions allows us to run our operations from cash and investments on our balance sheet and continue to use the credit facility as a tool to move quickly on strategic opportunities or serve as a liquidity backstop during a downturn. Lastly yesterday the Board of Directors approved a $0.145 dividend for the first quarter of fiscal 2020 which represents more than a 7% increase over the quarterly dividend paid in fiscal 2019. Before I get into fiscal 2020 I would like to first make a few comments about fiscal 2019 as there are some important points to take into consideration as you update your financial models for next year. Our adjusted earnings of a $1.20 per share take into consideration the pension charge in the third quarter and the charges related to the early retirement of debt in the fourth quarter. However, there are a few additional non-recurring items in the year that we have highlighted in our earnings releases which had the effect of increasing our earnings by approximately $0.06 per share after taking into consideration the related variable compensation and income tax effects. They include the property gain reported in the second quarter which had a $0.03 positive effect on earnings per share and net discrete tax benefits during the third and fourth quarters which totaled approximately $6 million and had the effects of lowering our effective tax rate below our ongoing estimate of 27% and increasing earnings by another $0.03 per share.  Some of you have also asked about other puts and takes like the initial effects of purchase accounting related to acquired inventory and backlog or the lower warranty product liability and workers' compensation costs we recorded during the year. We aren’t suggesting an adjustment for those as they largely offset and we will have ongoing amortization expense related to our acquisitions and our estimated reserves for these types of costs could change as our claims experience continues to evolve. So for purposes of building your year-over-year models we think a $1.14 is a good estimated baseline for recurring earnings per share in fiscal 2019.  For next year the earnings release included our estimates for the first quarter and our targets for the full fiscal year. We're projecting a strong start to fiscal 2020 with first quarter revenue estimated to fall within a range of $830 million to $855 million which translates to expected organic revenue growth of between 7% to 10% and from an earnings perspective we expect to report $0.16 to $0.20 per share which compares to $0.14 in the prior year. For the full year we are targeting another year of strong revenue growth and continued earnings expansion. As it relates to revenue we are targeting organic revenue growth between 2% and 6% for fiscal 2020. This target assumes that average industry growth percentages across our markets will be in the low single-digits and we are targeting to grow faster than the industry again in fiscal 2020 by continuing to implement our growth strategies. Based on how our organic revenue growth accelerated during fiscal 2019, flat in Q1, 8% in Q2, 13% in Q3, and 15% in Q4 the organic revenue target for fiscal 2020 anticipates higher growth rates in the first half of the year compared to the second half.  In addition our revenue will benefit from the inorganic impact of consolidating Smith System and Orangebox for a full year which will mostly benefit the first half of the year. Plus we will report an extra week of revenue in the fourth quarter of fiscal 2020 due to the timing of our year-end. Together these impacts are expected to contribute approximately 4% growth in our reported revenue next year. Lastly our revenue could be negatively impacted by approximately 1.5% related to foreign currency translation assuming the exchange rate at the end of fiscal 2019. For earnings we are targeting to report fully diluted earnings for fiscal 2020 between $1.20 and $1.35 per share. This target is consistent with our mid-term objective to grow earnings at two times the rate of organic revenue growth by continuing to leverage our scale to drive improvements in our operating margin. We are targeting improvement in our gross margins during fiscal 2020 as we continue to benefit from recent pricing actions which are now exceeding the significant inflationary pressures we experienced for much of fiscal 2019. We are targeting additional improvements through cost reduction initiatives across our global operations and by continuing to drive our gross margin improvement strategies in EMEA. But some of these benefits could be offset by continued investments to support growth and additional shifts in business mix.  As it relates to operating expenses we improved our operating expense leverage in fiscal 2019 by 150 basis points. For fiscal 2020 we are targeting additional benefits from our fitness initiatives but we're also planning additional investments to drive innovation across worker and workplace and broaden our addressable market through new products, partnerships, and acquisitions. In addition we expect a few pennies of earnings associated with the inorganic growth I just mentioned. Lastly a couple of other data points for your fiscal 2020 modeling. We expect interest expense to approximate $27 million for next year assuming current levels of debt. As I said earlier we continue to estimate our effective tax rate will approximate 27% for the year and as it relates to uses of cash we expect capital expenditures to fall within a range of $85 million to $95 million compared to the $81 million we reported in fiscal 2019. In summary our revenue target for fiscal 2020 assumes a relatively stable geopolitical environment and continued growth in the major economies around the world. In a relatively stable growing environment we believe our industry will continue to grow as organizations continue to modernize their workplaces to drive growth and productivity, compete for talent, and strengthen their cultures. And we believe our innovation and knowledge uniquely positions us to strengthen our global leadership position.  Our gross margin target assumes benefits from our recent pricing actions in the targeted revenue growth. We expect continued commodity costs and labor inflation but at a low single-digit percentage verses the significant levels of inflation we experienced through much of fiscal 2019. Similarly we are assuming continued shifts in our business mix which we expect could have an unfavorable impact on our gross margins next year but to a lesser extent than the impact in fiscal 2019. From there we will turn it over for questions.
Operator: [Operator Instructions]. Our first question comes from Budd Bugatch with Raymond James. Your line is open. 
Budd Bugatch: Good morning and thank you for taking my question. I guess the first question is to go -- you talked a lot about the mix of business, maybe you could quantify for us the project business versus continuing versus marketing programs? How do you see that playing out in 2020?
David C. Sylvester: Well, we have been saying through much of this year the mix of project business has moved up in percentage of mix. It had been historically similar to the level of continuing business we have been experiencing which was about 40%, and it had moved up progressively into the high 40% range. It is hard to predict how that will play out for next year, but when we look at what we see in the pipeline which Jim referenced, which has some nice project business in front of us that we can compete to win, I suspect that we're going to continue to feel a relatively high mix of project business in our overall results. 
James P. Keane: I will add that it is particularly true in the Americas. In EMEA, there is a lot project business, but they are smaller size projects that maybe we would see typically.
Budd Bugatch: Okay, and so when you look at the difference in margin impact and I know the project business is more competitive because you are bidding on a competitive situation versus continuing business, what's the natural margin differential between project and continuing business as you look at that? 
David C. Sylvester: Yeah, there's really no simple rule of thumb. I think what we've said in the past is on average, the project margins tend to be lower than the continuing and then the marketing programs which our customers who are buying products through different programs that we don't have a contract with just tend to be a little bit higher than average. But I wouldn't want you to think that every project is the same because every competitive situation is different. 
Budd Bugatch: And as you look at this year, you're instituting a price increase. Refresh me, could you just give us a quantification of what you think that does and when that goes into effect?
David C. Sylvester: We announced it in, I think earlier in the quarter in January-February. It goes into effect in April, and it's on average around the world a low single digit. It's not being pushed through as an average adjustment across all product categories, so some will go up a little more and some will go up a little less
Budd Bugatch: Okay and for me I guess Brexit is one continuing uncertainty out there, particularly in EMEA. Refresh us how important Brexit is or how important UK is to you and EMEA platform?
David C. Sylvester: Well, it is an important market. It was actually a market that Jim celebrated from the stage at the Town Hall yesterday as a market that had a very strong year last year. We said on previous calls some of that was us improving our own approach in the market, but it has been a pretty decent market for us over the last 12 or 18 months. Prospectively, it's hard to say what's going to happen. We're reading the same things you're reading, but it is not the biggest market. You know, Germany and France are our biggest markets and then depending on who's in the lead and who is having a great year, Iberia and the UK follow. But if Brexit would have a significant impact just in the UK, we would feel it. If it expands more into the rest of Western Europe, then we could feel it more significantly. 
James P. Keane: I'll add to that. The Orangebox acquisition increased our exposure to the UK. Most of their sales are in the UK. So for fiscal 2020, we will end up with more exposure in UK than before. Now that said, we also celebrate Orangebox. They’ve got off to a great start. Their topline revenue was actually above what our expectations were for the year we just finished. So despite the uncertainty in Brexit, we actually had a pretty good year in the UK, but we also want to make sure everybody's aware of the risk as we go forward.
Budd Bugatch: Okay, I will let some others ask questions and probably jump back into the queue. 
Operator: Thank you. Our next question comes from Steven Ramsey with Thompson Research Group. Your line is open. 
Steven Ramsey: Good morning. I’m wondering about your pipeline, I think about your pipeline the project mix being higher. Are you seeing the growth, maybe frame it in the context of 2019, are you seeing the growth of ancillary offerings that you guys have in these large projects that you desired and are the margins in these ancillary projects or the ancillary part of projects, are those margins better than larger or more traditional products?
James P. Keane: So first of all I'd say that the mix of ancillary within projects continues to rise, and it's rising as this trend begins to spread across the country. So it really started in a couple of regions and now we're seeing signs of this across the country. So that's one factor, just the spend by our customers is shifting from traditional product lines and more of it is in ancillary. And as we broadened our product portfolio, we're participating in that to a greater degree. Now, our dealers have been participating in it the whole time, and they have been meeting those needs by including other smaller manufacturers that offer products that were beyond our offering. So as we extend our offering, we're able to compete more completely and more aggressively for that business.  In terms of gross margins, we don't see a significant difference between the products we offer to brands like Coalesse and Turnstone and Steelcase. As we've used these partnership approaches to further broadening our offering, the margins can vary a little bit but I wouldn’t say that they're significantly different than the margins we see on the products that have been part of our core offering. So I wouldn't say it's better than the typical products, but it's also not materially lower than the typical products.
Steven Ramsey: Okay, great and then thinking about the higher overhead investments to support growth. You know just trying to think that if growth came in Q4 let's say at half of the high levels that it did, would the higher overhead costs have still come into play and I guess what I'm getting at, are the overhead -- increased overhead costs are those permanent and a part of full year 2020 going forward or would you be able to pull those back in a meaningful way should the top line not come in as expected?
David C. Sylvester: That's a good question. I would say that I would have expected a fair amount of those overhead costs anyway because they're related to supporting our growth strategies. If we wouldn’t have made some of the overhead investments that we made two or three quarters ago we may not have been able to support the 15% organic growth in the quarter. So we're continuing to make some of those investments and I've also mentioned business continuity on a couple of our calls previously. We've been investing to secure our business with a bit more strong link with some redundancy on key products and component parts. And that's required some investment. So I think that those investments are there to stay and those are going to continue. But I mean Jim and I meet with our operations team every month and talk about their continued cost reduction emphasis and what they're targeting. So we paid for a lot of those investments through cost reduction but not entirely when we looked at the year-over-year comparison. So that's why we call them out.
Steven Ramsey: Excellent and then lastly maybe real quick, can you talk about how West Elm is coming along and are we seeing that in the revenue or order numbers yet in a direct or maybe in a more indirect way?
James P. Keane: Yes, so we're happy, very happy with our progress in West Elm. We really showed our dealers and customers for the first time in a broad way our intentions for have partnership back at the end kind of June. Over the course of the summer and fall we continued to introduce the product lines to our dealers. Between September and December of last year we opened order entry for 25 products and these products were very well received by our dealers. So today we're beginning to ship those products and that's why the revenues haven't been significant it is just because of the timing. But in terms of the degree of acceptance we've been very happy. And as we look forward next month actually we will be opening up order actually for 30 more products as part of the West Elm partnership. So 25 products from September through December and they are going to add 30 more and as bit of evidence again overall one of the things we watch for is the degree to which dealers sign up for the various showroom packages we offer and the degree of subscription for those showroom packages is higher than what we expected internally. So the acceptance rate is even better than we thought, we are very excited about the potential for that West Elm partnership. But in terms of revenues that we will continue to build here quarter by quarter as those products begin to ship.
Steven Ramsey: Excellent, thank you.
Operator: Thank you. Our next question comes from Bill Dezellem with Tieton Capital Management. Your line is open. 
William Dezellem: Thank you. I had two follow-up questions from earlier answers. The first one is relative to West Elm, 25 products September to December, another 30 products coming soon, how many total are you ultimately looking to identify you have been able to get order placed?
James P. Keane: Yes, so I think you are asking what is the total we are expecting. We haven't actually put any kind of ceiling on it so we think there's an enormous opportunity as we continue to apply West Elm's design sensibilities to various product categories that we sell. That could include products we might think as ancillary but it could also include products that are -- products that support work and individual work settings. So we haven't put any capital constraint. What we're doing is watching how dealers and our customers react to those products, see which ones we can sell. We will continue to invest in the areas that are working and continue to test where else that design aesthetic might make sense. So, right now we are just focusing on implementation and we will continue to assess that every quarter.
William Dezellem: And continuing with West Elm you referenced that your dealers, orders for you say showroom sets is above expectations and would you talk just a little bit more about that?
James P. Keane: So whenever we launch a new product we will offer our dealers special packages to help them update their showrooms to include those products. So those packages include kind of sets of products we think tells the story in a complete way. So we also give a special pricing so that they can get those products in their showrooms. There's usually a period of time where those offerings are in place. So it's a good test for us to see how the dealers are reacting, what kind of acceptance they imagine they will see amongst their customers. And why this is important is because as I said the ancillary trend has taken shape differently in a different pace across the country. So some markets the dealers are like well, what took you so long. We could have used this two years ago. In other markets it's been an important trend over this last year and in other markets it's just developing. So we were really encouraged that West Elm offering has resonated with the dealers in terms of the aesthetics, in terms of the customers acceptance, in terms of pricing and being able to hit the right price point to the market. All of these are critical. So we from our experience know what a normal take up rate would look like and our team set goals based on that. And all I can share at this point is that acceptance rate we've seen is higher than what we were expecting internally.
William Dezellem: Thank you and I would like to come back to pricing, you had mentioned that it was low single-digits globally, what are you expecting that number to average out to in the Americas specifically?
David C. Sylvester: Similar. They weren’t significantly different by region.
William Dezellem: Okay, thank you both. 
Operator: Thank you. Our next question comes from Greg Burns with Sidoti. Your line is open.
Greg Burns: Hey, good morning. I want to maybe get some help quantifying the wallet share opportunity with your dealers, can you just let us know what percent of projects or the market is ancillary and currently what percent of your dealer spend do you have in that segment of the market and maybe where do you think that could go over the next two to three years? Thanks.
James P. Keane: So, maybe overall I will repeat something we have shared before that in speaking about the Americas here, it gets more complicated as I try to do this globally but I'll just talk about the Americas. In the Americas group there's a line dealer, we would normally expect to see 65% to 70% of the furniture they sell be offered by Steelcase. So Steelcase, Coalesse, Turnstone, etc. And the other 30% is made up of a variety of manufacturers that they will include to offset the -- to be able to fulfill the customer's needs on a project and those can be a wide variety of smaller manufacturers. So 65% to 70% is what we would say is typical and mainly denominated furniture because we have dealers that are in lots of other businesses, services, and architectural products and so on that would SKU those numbers. But if you use 65% to 70% as sort of normal I will start there.  Ancillary as we've known historically in the industry you probably get a rebate from different companies but I would say if you go back several years it might have been 10% or 15% of the industry. And today I would say it would be fair to guess that it's 20% and growing. But if you look out in certain markets if you go to West Coast for example and then you look at more progressive customers on the West Coast, we've seen examples of 50% of the projects being ancillary. We've seen in fact examples of nearly 70% of projects being ancillary. I would say that's fairly rare, I was just mentioning that to give you a sense of the range. But what we are seeing is customer shifting up so what used to be 10% is definitely higher on average for new projects by progressive customers, definitely higher and definitely higher in the West Coast. So as that trend goes across the country we would expect to see that 20% national number continue to rise.  And now in terms of our share of that we used to have I would say a fairly significant share. I'd say probably not the full 70%. If it was 10% of the dealer sales we might not have gotten 70% of that but we got a lot of it because we had Coalesse and Turnstone and Steelcase, they all had offerings and we competed in that segment. But as we grew it grew into furniture typologies and price points that we really didn't cover. And so it's slightly -- and as it grew from 10 to 20 that we saw our share of our dealers wallet fall not because the dealers wanted it to by the way. So the dealers are coming to us saying you got to help us, how are you going to help us meet the full needs of our customers which is a fair question. And that's why we've invested in these partnerships and our own product development. So hopefully that answers your question.
Greg Burns: Yeah, thanks and then it sounds like the West Elm partnership is obviously ramping up but you have some others, could you in anyway quantify kind of the success you're having with those partnerships, maybe whether it be year-over-year growth or actual percent of revenue that's coming from those partnerships and anything or any kind of color you can give on the success you're having there? Thanks. 
James P. Keane: Yeah, in fiscal 2019 our objective really was to make sure our customers understood the full scope of our offering. These partnerships were being introduced one after the other. So for our sales force and our dealers it was quite a challenge. They had to kind of keep up with all the new products we were offering. At NeoCon last year we had an entire showroom dedicated to showing what we could do as we go to work out there out of products that we offer as part of the showcase line and to the partnerships. That was really the first time we were able to tell that story. As you might remember it won an award at NeoCon for that showroom. But it was brand new, that was a brand new effort. Over the course of the year we continued now to do the IT work necessary to have those products to our order tools we've developed, selection, and ordering tools that are actually separate from our traditional tools to help dealers just make sense of all that, how do you find just the right product for your customer. We were also connecting the supply chain so this partnering supply chain and our supply chains are increasingly one so that when dealer places an order they have confidence that this is possible show up on a consolidated shipment. So I think fiscal year 2019 was largely about building those foundations. We didn't have revenue, we were not unhappy with the revenue we had but it really was a foundational year. Fiscal year 2020 we are going to expect for all that work to begin to turn into revenue at more material levels. We haven't quantified that but we think it'll be more significant in fiscal year 2020.
Greg Burns: Hey, great. Thank you. 
Operator: Thank you our next question is a follow-up from Budd Bugatch with Raymond James. Your line is open. 
Budd Bugatch: Yeah, I guess I just wanted to go back and just check your -- when we did the Analyst Day I think you gave kind of a walk through to 2020 is my impression correct that the major difference is kind of the interest expense from where we were at that point in time and maybe you can look at the walk to 2020 kind of imply with the Analyst Day?
David C. Sylvester: We obviously didn't -- hadn't gone to the market and made a decision to go to the market at time of our Analyst Day. So one of the biggest variances was the lack of interest expense which I think if you do the math on our effective rate on the 250 versus the effective rate on the 450 you will find about 10 million or more of higher interest expense which turns out to be about a little more than $0.05 or $0.055 of earnings. So that's the biggest driver. I would also say to you that we finished the year stronger than we were expecting and that's also a little bit of a variance to what we were imagining back on the $1.20 of adjusted earnings for the full year, it is pretty strong.
Budd Bugatch: Okay, alright, thanks David. Thank you, it's helpful.
Operator: Thank you. [Operator Instructions]. I am currently showing no further questions at this time. I would like to turn the call back over to Jim Keane for closing remarks.
James P. Keane: Thank you. I would just like to also thank the investors, those of you who are on the call and those of you who work with investors for believing our strategy. It is -- I think this last quarter and this last year as evidenced that the strategy is working and we appreciate your confidence in us and we look forward to a very strong fiscal 2020. Thank you for your interest in Steelcase and for joining us today. 
Operator: Ladies and gentlemen this concludes today's conference. Thanks for your participation and have a wonderful day.